Operator: Good morning. I would like to welcome you to our Q2 2024 Earnings Conference Call. Joining us today are Omer Keilaf, Chief Executive Officer; and Eldar Cegla, Chief Financial Officer. Following the opening remarks, we will open the call to your questions. I would like to remind everyone that this call is being recorded and will be available on the Investor Relations section of our website at ir.innoviz.tech. Before we begin, I would like to remind you that our discussion today will include forward-looking statements that are subject to risks and uncertainties relating to future events and the future financial performance of Innoviz. Actual results could differ materially from those anticipated in the forward-looking statements. Forward-looking statements made today speak only to our expectations as of today, and we undertake no obligation to publicly update or revise them. For discussion of some important risk factors that could cause actual results to differ materially from any forward-looking statements, please see the Risk Factors section of our Form 20-F filed with the SEC on March 12, 2024. Omer, please go ahead.
Omer Keilaf : Thank you, Maya, and good morning, everyone. Thank you for joining us. In the second quarter, we continued our strong performance on all fronts. Revenues were $6.7 million, above the guidance range of $4 million to $5 million we provided last quarter. These strong revenues, in tandem with our ability to operate efficiently, contributed to another quarter of decreased cash burn on both a sequential and year-to-year basis. This morning, we reached an important agreement with a major platform partner to supply our set of short- and long-range LiDARs to their Level 4 autonomous driving platform, which has already been selected by several OEM programs. You can imagine the effort that went into making this happen. We are all very excited and look forward to sharing more information about the partner and associated OEM programs in the coming months. Yesterday, we announced an agreement with The Indoor Lab, a world leader in our automotive LiDAR analytics, to supply InnovizTwo LiDARs within their airport portfolio, beginning with Denver, Nashville and Tampa International airports, with more airports expected to be added to the program. Beyond these announcements, we are busy meeting with existing and potential customers across the globe. A few weeks ago, I was traveling throughout the U.S., and we've spent significant time in Korea, Japan and Europe as well. And I'm planning to be back in the U.S. next week to meet with additional customers. Importantly, we continue to progress our pipeline of existing RFIs and RFQs, having bolstered our relationships with new and existing customers through the addition of new programs while engaging with prospective customers to pursue additional opportunities to provide them with our solutions. Meanwhile, we further matured the InnovizTwo platform and upgraded our Advanced AI Perception Software during the quarter. First, I'll discuss the announcement we made this morning. As you saw this morning, we announced that we have reached an important agreement with a major platform partner to supply a bundle of InnovizTwo short- and long-range LiDARs to their Level 4 autonomous driving platform. Importantly, this platform has already been selected by several OEM programs. We are very excited by the potential of this platform, as Innoviz can further benefit from additional OEMs selecting this platform. In this program, Innoviz is set to supply multiple short- and long-range LiDARs per autonomous vehicle, significantly increasing the number of LiDARs per vehicle. With a high quantity of LiDARs per vehicle across multiple OEMs, we expect to achieve significant volume generation more quickly. We expect to disclose the name of the partner in the coming months and look forward to sharing additional details. This is an important partnership for Innoviz. And we expect that being part of this platform will lead to further opportunities as more OEMs adopt the platform. We believe that our selection for this platform is a vote of confidence in our products and technology and has the potential to accelerate the growth of our business. Now I will go into further detail on the addition of the short-range LiDAR to our portfolio and its significance. Through the introduction of this product, which features over 90 degrees of vertical field of view, we are meeting the requirements for short-range detection needed for Level 4 applications. Leveraging the maturity of the InnovizTwo platform, we are delivering both short-range and long-range solutions for customers and can now offer both to the same customer as a bundle. We can now provide a full set of solutions to customers as a one-stop shop. This delivers additional benefits for customers, as they are streamlining their supply chain by using a single supplier while lowering the time and cost invested and minimizing risk. With the announcement of today, we are now providing a viable short- and long-range bundle through a credible partner across multiple OEMs with higher income per vehicle. Importantly, adding short-range LiDARs to our portfolio has also unlocked a new batch of RFI and RFQ opportunities with other customers which we are working to convert. As we are likely to gain more Level 4 customers, we expect our volumes to grow rapidly and our unit economics to continue to improve while cost decrease. This is because we believe we will be meaningfully increasing the number of LiDARs we can offer per vehicle, which should allow us to take advantage of synergies from working off the same InnovizTwo platform. We believe that our track record gives prospective customers confidence that we can provide them with automotive-grade solutions in relatively short time frames and within their technological specifications. During the quarter, we continued to mature our technology and progress the industrialization of InnovizTwo. The InnovizTwo B-sample has gone through design changes to better meet SOP requirements in terms of size, performance and automotive standards. As a result, we made it more compact, and it now meets all automotive requirements. This new configuration is now being standardized across programs. This configuration requires changes to the production processes that we expect to complete during the third quarter of 2024. Meanwhile, we are maturing the short-range LiDAR to be ready for production towards the end of this year. We already have large orders of the latest InnovizTwo configurations for long range and short-range. And once we reach full production capacity, we'll be able to ship these orders to customers. We do not expect any further changes to the product and anticipate taking this version of the InnovizTwo to SOP. As I mentioned at the beginning of the call, we recently spent time with different potential customers, demonstrating the advantages of our Advanced AI Perception Software. InnovizOne is already in production, and in vehicles on the road with the Perception Software. We've upgraded the software to be compatible with InnovizTwo, and we just conducted our first tour to show the InnovizTwo and AI Perception Software to leading customers in the U.S. We met with a number of notable OEMs who provided positive feedback during our discussions. They were very impressed by our unique offering of long range and short-range LiDARs, coupled with our AI Perception Software, a key differentiator for Innoviz compared to outdoor-only LiDAR providers. A significant portion of our existing and potential customer base sees the AI Perception Software as a key part of their RFP requirements. Without AI Perception Software, LiDAR companies cannot compete for this business. We're pleased to share that just recently, 2 top 10 OEMs have indicated their need for AI Perception Software as part of the requirements. Innoviz has the advantage of already having a product on the road with Perception Software. These OEMs were impressed by the demonstrations we gave them during our tour. Another important point I'd like to call out is what we're seeing in the Level 3 and Level 4 markets. In our Level 3 programs, we are currently seeing vehicle volumes that are higher than Level 4 programs. Because with Level 3 autonomy only require 1 to 2 LiDARs per vehicle. While Level 4 vehicles volumes are growing, the multiples are very high and can vary depending on the type of vehicle. For example, in Robotaxis, there can be 6 to 9 LiDARs per vehicle, including both short and long range. While in trucks, there can be up to 12. In Level 4 programs, we are offering a combination of our short- and long-range LiDARs, while in Level 3, we are typically providing long-range only. With the combined vehicle volumes of our Level 3 and Level 4 programs, we are nearly doubling the number of LiDARs we could potentially offer to the market at a given time. Now I'll shift to the customer we announced yesterday. The Indoor Lab, a world leader in automotive LiDAR analytics. We were pleased to share that The Indoor Lab will deploy InnovizTwo within their airport portfolio with their aims of keeping passengers safe, improving operational efficiencies at airports and mitigating damage to airport property. InnovizTwo LiDARs will be deployed in the Denver International Airport, 1 of the largest and fastest growing U.S. airports. The Nashville International Airport, also 1 of the fastest-growing U.S. airports, and the Tampa International Airport. Both Innoviz and The Indoor Lab expect more airports to be added as part of this agreement. On this program, we were told that we're displacing the previous LiDAR supplier to the program. In our discreet discussions, The Indoor Lab noted, they were highly impressed by InnovizTwo high point cloud density and high frame rate. These capabilities will enable the customer's Artemis perception platform to deliver exceptional products and services for their key airport partners, more of which are expected to be added in the near future. Now taking a closer look at our robust pipeline of RFIs and RFQs. During the quarter, we increased the number of programs in the pipeline, and we see an uptick in interest in our short-range LiDARs. We have more than 15 programs currently in the pipeline, all of which require long range, LiDARs, and 5 of which also require short range. In total, 50% of the pipeline is currently in the RFQ stage. I wanted to call out 1 potential new customer in particular that was added to the pipeline just over the last quarter. This important potential customer is working with us on an RFQ for their second-generation Level 3 platform. The RFQ is moving along well. The program, which features strong volumes, is expected to launch in 2026. In addition, last quarter, we mentioned that we were working with the leading Level 4 platform company in the trucking space. We are in close contact with this customer and met with them just a few weeks ago. This opportunity continues to progress with large volumes expected as we will add multiple LiDAR per Level 4 vehicle. The customer has also informed us that they may be interested in incorporating our short-range LiDAR for this broad platform. This partner has multiple customers for this platform. The next step for this program is a supplier agreement. We have much to be excited about, and we are working tirelessly to advance these opportunities as well as the ones I haven't talked about today, with the goal of converting them into new design wins. Taking a step back and looking at the market as a whole. OEMs and other customers need technology that meets evolving safety requirements while solving their problems, ultimately delivering a seamless autonomous driving experience. Innoviz is a credible Tier 1 supplier with a proven ability to execute. As we continue to further advance our technology and expand our pipeline, Innoviz is demonstrating its capabilities to address key areas of concern across autonomy levels. For example, in our conversations, potential customer -- customers have expressed being impressed by the ability of Innoviz LiDARs to functioning conditions where water or blockages are present without noticeable degradation to visibility, a very important KPI. Potential and existing customers are noticing the advantages that our technology contributes to a safe driving experience. As a result, we are engaged in various stages of conversations with several potential customers to replace the current LiDAR solutions they are using. In addition, right now, given the uptick we're seeing in the short range customer activity, we are offering both short and long-range LiDARs for customers in a bundle. We remain confident in our ability to position Innoviz to capitalize on future opportunities for LiDARs resulting from the regulatory and market activity we are currently observing. The past quarter represents another quarter in which we are exceeding our quarterly revenue guidance. We are delivering -- we delivered $6.7 million in revenue, above the guidance range of $4 million to $5 million. As I mentioned earlier -- and Eldar will discuss shortly, we recorded another quarter in which we achieved lower cash burn, displaying our focus on the InnovizTwo platform. Before I hand the call over to Eldar, I'll provide our guidance. I remind you that we're continuing to implement changes to our production processes to support the latest InnovizTwo configuration as well as our short range LiDAR. We expect to complete these actions during Q3 2024. We expect third quarter revenue in the range of $3.5 million to $5 million compared to $3.5 million in Q3 2023. Last quarter, we reiterated our confidence in achieving our guidance for -- of 2 to 3 additional programs from both existing and new customers and $20 million to $70 million of new NRE bookings in 2024. With the positive customer activity we're seeing and our continued momentum through the first half of the year, we reiterate our 2024 operational targets. And with that, I'll turn the call over to Eldar to review our Q2 2024 financials.
Eldar Cegla : Thank you, Omer, and good morning, everyone. Starting with cash. We ended Q2 2024 with approximately $106.4 million in cash, cash equivalents, bank deposit marketable securities and short-term restricted cash on the balance sheet. Cash used in operations and capital expenditure came in at $21.6 million compared to $27.6 million in Q2 2023 and compared to $23 million last quarter. This decrease in our burn, both on a quarter-over-quarter basis as well as on a year-over-year basis, demonstrates the effective implementation and efficient execution of our operational realignment, focusing the company around 1 platform, InnovizTwo, while meeting and overachieving on our revenue targets. We expect that this trend will continue, and we will keep our cash used in operations and capital expenditure under tight control. Annually, we are expecting this year to be an improvement over last year, and we are confident in our ability to maintain decreased levels of cash burn in the future. In terms of our gross margins, while we have seen significant improvement, we expect this will continue to be lumpy as we mature the InnovizTwo platform, unit volumes fluctuate and NRE revenues continue to vary from quarter-to-quarter. Now turning to the income statement. Revenues for Q2 were $6.7 million compared to $1.5 million in Q2 of 2023 and surpassing our guidance range of $4 million to $5 million. This represents another quarter which we have over delivered on the top line, further reinforcing Innoviz's track record of financial execution. Our operating expenses for Q2 2024 were $23.3 million, a decrease of 23% from $30.4 million in Q2 2023. This quarter's operating expenses included $3.8 million of share-based compensation compared to $5 million in Q2 2023. Research and development expenses for Q2 2024 were $16.8 million, a decrease from $23.8 million in Q2 2023. The quarter's R&D expenses included $2.6 million attributable to share-based compensation compared to $3.4 million in Q2 2023. Overall, we are pleased by Innoviz's continued positive financial trajectory, driven by the strength's of our top line performance, coupled with our disciplined approach to expense management. Looking ahead, we will maintain operational efficiency while taking the necessary steps to bolster our market position and meet customers' immediate and long-range needs. And with that, I'll turn the call back to Omer.
Omer Keilaf : Thank you, Eldar. As we close, I'd like to say how honored we were to host the EcoMotion Annual Assembly at our headquarters on June 4. The turnout was incredible, and we were pleased to welcome visitors from across the global industry, including leading OEMs, to Innoviz headquarters. During the quarter, we were also released -- we also released our first Impact report, highlighting Innoviz's commitment to social impact, sustainable operations and responsible business practices. I encourage you all to read the report on our Investor Relations website. To conclude, Q2 was a momentous quarter for Innoviz in which we maintained strong performance on the top and bottom lines and further advanced our pipeline. We continued this momentum with our recent announcements of important new programs and partnerships. The announcements we've made this morning is an important 1 for Innoviz, which we expect will lead to further opportunities as more OEMs adopt the platform. Our selection for this platform is a vote of confidence in our products and technology and has the potential to accelerate the growth of our business. We are taking advantage of new opportunities that are arising in the market to provide existing and potential customers with both our short- and long-range LiDARs while expanding our pipeline to new customers. Meanwhile, we are working hard to convert various pipeline opportunities into design wins in the near future. And we expect the second half to be meaningful in terms of further progressing these opportunities. The upcoming OEM decisions will be very decisive in determining the competitive landscape of the LiDAR market. Our next few wins will continue to build the strong momentum we already have to converge additional opportunities. We're receiving great feedback from customers about our differentiated technology, and we are confident in our ability to solidify our ambition of becoming the leading Tier 1 LiDAR supplier as the market capture phase we are in continues to play out. And with that, operator, please open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Mark Delaney of Goldman Sachs. Please go ahead.
Mark Delaney : Yes. With the L4 platform award announced today for both short- and long-range LiDAR, can you help us better understand if there are new firm series production awards that you're planning to add to your backlog? Given some of the design wins, it sounds like your platform partner may already have? And if so, maybe you can help us better understand the magnitude of what this might mean for your backlog or what it might mean in terms of annual vehicle unit volumes as these programs ramp up?
Omer Keilaf : Sure. And I'll start by saying today was pretty hectic for us. This was actually just done today. And we were very anxious whether we can bring it in before the call or not, you can imagine, the last 2 days were pretty crazy. This is very meaningful. All of the programs that are awarded to the platform are going to use our set of LiDARs. There are multiple. There are several customers already opt into this. There are several that we know our partner is in discussion with. It's a high multiple also of number of LiDARs, short range and long range. And as we discussed over the presentation, the number of LiDARs can vary between 6 to 12. So you can get a grasp of what are we talking about. In terms of the order book, that's actually a very meaningful award. I would say, possibly a very -- I mean, in terms of trying to quantify it, I think I'm looking at it as something that is very similar to what we had with the VW announcement. Super important, a huge boost in front of other customers that are looking to deploy short-range and long-range LiDARs. We're stepping from here forward, I would say, very confident and satisfied.
Mark Delaney : That's great. Congratulations on getting that across the finish line and certainly looking forward to seeing how that progresses going forward. A follow-up on this award that you announced today. In June, you had announced an expanded collaboration with an OEM for L4 using short- and long-range LiDAR. I'm hoping to understand, is the news today with the platform partners, is that at all connected with the OEM award you had in -- in June? And as you talk about what the backlog is, are you talking about the new backlog from what you get today? Or are you maybe counting what you perhaps already booked previously in the L4 space?
Omer Keilaf : Sure. So the announcement we made in June is about a partner, a customer who is going to use our short-range LiDAR. That's a partner. That's a customer that is within the different customers that are using the platform. Following that award, we were working with the partner on doing the same with the rest of their customers, reaching to the commercial agreement that we got to today in order to allow the same to other customers.
Mark Delaney: Got it. Maybe just 1 last quick clarification for me and then I'll turn it over. I'm sorry, go ahead.
Omer Keilaf : It's incremental.
Eldar Cegla : Just -- Mark, it's incremental. This program adds in addition to what we announced previously.
Mark Delaney: Got it. And just to confirm, you guys are exclusive with this platform partner as they're going to market?
Omer Keilaf : We are the only LiDAR provider to this platform. We are actually displacing 2 other LiDAR companies.
Operator: Our next question comes from the line of Andres Sheppard of Cantor.
Andres Sheppard: Omer, Eldar, congratulations on another quarter. I want to touch on maybe The Indoor Lab LLC program. Wondering if you can maybe help quantify some of the details of this agreement? When might you expect deliveries to ramp up? And can you give us a sense of some of the volumes you might be expecting from this?
Omer Keilaf : So what I can share at this point that we are starting to deliver units to equip the airports that I mentioned already by the end of this year. And our partner, The Indoor Labs, are working with new airports to expand their offering. In terms of number of LiDARs per airport, I would actually let that to Indoor Lab to elaborate, if I can. That was not sharing.
Andres Sheppard: Got it. Okay. That's helpful. And then maybe coming back to the short-term and long-term LiDAR bundle announcements. Sorry, sorry, short term and long term, yes. I realize you're not disclosing the name of the partner, but just wondering if maybe you can give us a little bit more color on the type of client or the specifics of the agreement? How should we be thinking about this from a modeling perspective?
Omer Keilaf : It's a very meaningful partner. We refer to it as a major platform player. They have -- they are already, I would say, they are working with several OEMs that were already sourced and selected and actually already operating with several OEMs using their Level 4 platform. And the agreement would now replace the set of LiDARs they were using with our set of short range and long range. There is -- I gave a range of how many LiDARs, per vehicle, so you can imagine the multiples are very meaningful. And having that is -- we are referring to multiple -- already several customers that are within this platform, and we are expecting more to come. We are very much, I would say, this is a very meaningful program -- platform win for us.
Andres Sheppard: Okay. Super helpful. Maybe if I could squeeze 1 more really quick.
Omer Keilaf : Wait, I'll just say -- sorry, Andres. It is launching in 2026.
Andres Sheppard: Okay. For production is 2026. Yes. Got it. Maybe 1 last 1 for Eldar. There was significant improvement in gross margins this quarter. I'm wondering if you can maybe help break this down for us? How much of this was related to NREs and what type of margins might you expect for later this year, particularly with BMW ramping up in the second half?
Eldar Cegla : Sure. So most of our revenues today come from NREs. NREs, as I said in the past, have a very positive contribution to our gross margins. I also mentioned during the call that since the construction of our top line is consistent of both NRE samples and SOP units we ship mainly to BMW. It's still very lumpy. So you can see in 1 quarter more as higher sample rates, lower NRE, the other 1, then another raise in NRE, as you can see. So this will continue to be lumpy. But as long as the NRE factor is growing up to SOP, I think this will have a positive contribution to the margins.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Kevin Cassidy of Rosenblatt Securities. Please go ahead.
Kevin Cassidy : Yes. Thanks for letting me ask a question. Congratulations on the progress on some of the new wins. For the Robotaxi and even for your Level 4 that you've announced, using more LiDAR, I guess, it seems Robotaxis have been using rotating LiDAR -- 360-degree LiDAR. Is the concept going forward will be just to use more of your types of radar -- LiDAR, rather than the rotating?
Omer Keilaf : The answer is yes. But maybe I want to add, we're not referring only to Robotaxis applications. We're also referring to trucks, shuttles, buses. There are many kinds of Level 4 applications that can benefit from such a platform. And maybe going back to the question. So the answer is yes. We are in discussion with several OEMs that are looking -- all platform players that are looking to industrialize their platform towards their launch. Everyone is aware that once you commercialize your product, you need to meet automotive grade, you need to meet the requirements. It's not enough or any longer to work based on a solution that was possibly used for an R&D purposes. They are looking for a product that is already mature, meeting automotive grade, has industrialization plan. And that's why many of them are now reaching out to us to see how they can benefit from our solution, as we see here today, but also we talked about the trucking opportunity that we are working on, a similar situation there.
Kevin Cassidy : Okay. Great. And the Indoor Labs win is -- seems pretty significant and a step into other markets that -- in your pipeline of opportunities, are there other smart city-type of applications like this is what I would call it, or even industrial?
Omer Keilaf : So our pipeline that we are referring to in our presentation for quarter-over-quarter, we are only referring to either Level 3 or Level 4. But of course, there are a handful of applications. There is a, call it, an endless shelf of opportunities that can benefit from the 3D sensor. Innoviz is 99.9% focused on automotive. This is where we feel we stand out. The major deals in terms of volume and NREs come from there. Our advantage today is there. Of course, we always enjoy benefiting from good teams like The Indoor Labs that can penetrate different types of markets. I am very positive about The Indoor Lab team, which I met just a couple of weeks ago. I was quite amazed by their product and what they can offer to different customers. And I'm pretty sure that corporation can also grow to maybe additional platforms, I mean not just airports. So of course, we do look for ways where we can scale through the work of good teams, such as The Indoor Lab. But in terms of Innoviz focus, we are developing LIDARs for mass production for automotive grade with our Perception Software.
Kevin Cassidy: Okay. And I guess since it's not an emphasis, but just wanted to ask if the Perception Software would go along with that Indoor Labs opportunity.
Omer Keilaf : The answer is no, meaning that Indoor Labs provides their Artemis perception software, which -- which obviously provides analytics on elements that are not related to the, I would say, on road, highway driving, which we provide to our automotive customers. This is where we benefit from working with different companies, talented companies that are using the 3D data in order to extract the KPIs they are looking for, obviously, tailored for the applications they are trying to develop.
Operator: Our next question comes from the line of Kevin Garrigan of WestPark Capital.
Kevin Garrigan : So to start, there are estimates out there that short-range LiDAR prices are estimated to be about $250 or below, nonautomotive LiDAR sensors could be in the thousands. Omer, I know you noted in your prepared remarks for the automotive market, you're selling the long range and short range in a bundle potentially. Can you just kind of expand on your pricing strategy as you look at these new markets? Are you planning on selling InnovizTwo for nonautomotive much higher than you would for long range in automotive? And how are you kind of thinking about the pricing -- pricing the bundle or just kind of pricing for the short-range LiDAR?
Omer Keilaf : Sure. I would say -- I have several things to say. InnovizTwo short range is based off -- InnovizTwo -- it's the same platform, and it benefits from all of the cost opportunities, but also our ability to offer more LiDARs now is also helping us to scale. Our ability to set the price is determined by the competitive landscape and the value we generate to our customers. I would say that right now, we sense a huge pull in the short-range space. We find very attractive market available to us in that -- in these times, and we will continue to, I would say, try to bring more deals to the table. Obviously, once for customers outside the automotive market, the prices are also determined by the value that is generated in the application value that we can provide.
Eldar Cegla : Just to emphasize this point, the partnership is for Level 4, mainly for commercial applications, like truck, shuttles, Robotaxis. The price sensitivity there is different.
Omer Keilaf : I would say for many, many years, companies, also Innoviz, we've been very focused on the Level 3, where the volumes are very high because of the number of vehicles on the road. And I would say the challenge there is related to very long range because of the highway and high resolution and very low cost. And you need to take everything, I would say, to the edge, in a way. And the competition there was around that. Level 4 was somehow behind. And now there is an uptick really in different programs that are ready to commercialize, but are looking for automotive-grade solutions. Their sensitivity for pricing is different than the passenger vehicle because of the value they generate in terms of replacing the professional driver. The number of LiDARs is different. So for us, it's like amazing moving from a car that has 1 LiDAR to a car that might have 12 LiDARs. It's just mind-blowing how the multiples and the way that the numbers are growing very fast. This is really -- it's fun. Really, it's -- really refreshing. And we will continue to look on these applications as Level 4. We feel that we have a very strong foot now in this area, which is making fast, I would say, growth.
Kevin Garrigan : Got it. Okay. That makes sense. And then just as a follow-up. So I know you needed to make a few tweaks to the end of this 2 to go from long range to short range. Are there any changes you need to make to the InnovizTwo for The Indoor Lab agreement or kind of nonautomotive market? Or can you kind of use it as is?
Omer Keilaf : No, we use it as is. We do not make -- as I said, we're 99.9% focused on automotive. I would say, applications that are nonautomotive will benefit from the capacity of our production line, and we'll use the availability of the systems that we have. There are many, I would say, even within the long range and short range, there are also different variants that are defined by software only, which allow us to be very flexible. So this gives us also different, I would say, with propositions that we can provide to different teams.
Eldar Cegla : It's practically a precondition when we are working outside the automotive market that we don't need to have any extra efforts or different flavors of the product because the focus is somewhere else, and we do not want to have to support it and to add extra expenses around that.
Operator: Thank you. You have no further questions. You may proceed.
Omer Keilaf : Thanks again to everyone for joining us this morning. We look forward to updating you next quarter on the continued progress we are making here at Innoviz. Thank you, everyone. I appreciate you joining us. You can see it's a very exciting time for us at Innoviz. We just announced, I don't think my -- I told my team to go on the earnings call to hear the news. Nobody heard. This is -- I'm going to hug the team now. So thank you very much. Bye-bye.